Executives: William W. Reid - Co-Founder, Chairman and Chief Executive Officer
Operator: Thank you for joining the Gold Resource Corporation's First Quarter Earnings Conference Call. Mr. Bill Reid, CEO; and Mr. Brad Blacketor, CFO will be hosting today's call. Gold Resource's CEO, Bill Reid will make a brief statement. Following Mr. Reid's opening remarks, there will be an e-mail question-and-answer period. [Operator Instructions] As a reminder, today's call is being recorded and will be posted to the company's website within 3 to 5 business days. Please go ahead, Mr. Reid.
William W. Reid: Thank you. Well, thank you for joining us this morning for the first quarter 2013 conference call. Our CFO, Mr. Brad Blacketor, and I are on the call today. Jason Reid, our President, is not able to attend. Before we get started, let me remind everybody that certain statements made on this call are not historical facts and are considered forward-looking statements. These statements are subject to numerous risks and uncertainties as described in our annual report on Form 10-K and other SEC filings, which could cause our actual results to differ materially from those expressed in or implied by our comments. Forward-looking statements in the earnings release that we issued yesterday, along with the comments on this call, are made only as of today, May 9, 2013. And we undertake no obligation to publicly update any of these forward-looking statements as actual events unfold. You can find a reconciliation of non-GAAP financial measures referred to in our remarks in our Form 10-Q for the quarter ended March 31, 2013, and Form 10-K for the year ended December 31, 2012, filed with the SEC. As we get started here, let me say we are pleased to have KPMG onboard, a Big 4 accounting firm for this quarter and to perform our 2013 audit. For the first quarter of 2013, our mill production was 22,330 precious metal gold equivalent ounces, which is in line with our 2013 annual target of 80,000 to 100,000 gold equivalent ounces. This target may change in the future depending on circumstances, including mine development and mill upgrade construction. We are attempting to minimize mill shutdown days during the construction process, but there is no assurance that it won't impact our production for the year. We sold 24,972 ounces gold equivalent at a total cash cost of $515 per gold equivalent ounce and generated revenues -- and of course, remember our revenues are net of the smelter charge -- of $42.3 million. We sold our gold for the quarter at an effective average price of $1,648 per gold equivalent ounce. We were profitable for the quarter with net income of $7.4 million or earnings per share of $0.14. Even though we must expense all of our construction and development cost as an exploration stage mining company for accounting purposes, unlike most mining companies who can capitalize their construction and development cost. Because we cannot capitalize our construction and development cost, we show lesser profits for the period than similar producing companies who can capitalize their construction and development expenditures. We believe our operating costs are too high. But more importantly, we believe that they can be reduced. Our team in Oaxaca is moving towards a more efficient operation, lowering our cost and targeting higher grade, more quality ounces to mine. The first quarter of 2013 marked a milestone for the company as our accumulated deficit went to 0. In essence, the company's earnings have exceeded its total historical losses from inception. We have now earned back from operations all the money spent by the company in its history, an accomplishment that many companies never achieve. And at the same time, we've paid back to the owners of the company $81 million in dividend. We continued our monthly dividend during the quarter, distributing approximately $9.6 million cash back to the owners of the company, its shareholders, or $0.18 per share. As I said a moment ago, this means we have now returned approximately $81 million to shareholders since we declared commercial production in July of 2010. We are very proud of our dividend record. Our dividend payment is very important to our philosophy, so let me take a minute here to underscore that. Our mantra has always been from the beginning of the company return as much cash back to the owners as soon and as often as possible. We are proud of the fact we may be the only mining company to have paid a dividend after the first month of declaring commercial production back in July of 2010. We have paid a dividend every month since, and now have paid shareholders over $1.55 per share. We are equally as proud of the fact we have now paid shareholders back more than our IPO price of $1 a share back in September of 2006. And with the dividends paid to date now totaling more than $81 million, I think this underscores this company's commitment to a shareholder-friendly dividend focus. Now most gold mining companies that have gotten on board with paying a dividend do it under some formula. Newmont's is related to the gold price; other companies, possibly a percentage of their earnings. In Gold Resource's case, it is a target of 1/3 of our metric called cash flow from mine site operations. These dividend payouts are constructed as a formula for the very reason that gold is volatile, and shareholders want the ability to participate in that upside of the gold price and the performance of the company. In this way, gold companies can potentially maximize return to the owners while giving them upside exposure to the gold price. To me, for the gold mining business, these should not be conservative dividends that can easily be paid each period and, therefore, little need to ever be lowered. The desire to maximize payback to the shareholders through a formula tied directly or indirectly to the gold price also, unfortunately, carries with it a decrease when the metal prices drop. So you can't have it both ways. If you want to have maximum exposure to the gold price on the way up, you have to accept the fact that, at times, the price may also go down and reduce the dividend payout. We are all acutely aware of the fact that gold recently has its worst price drop in 30 years. Such a drop is sure to affect our cash flow from mine site operations. And as it is the fact that for 2012, we actually paid 39%, which, by the way, we were happy to do because we could, we actually paid 39% back to the shareholders under our formula instead of our targeted 33%. Consequently, the Board felt it was prudent to reduce the current monthly dividend from $0.06 per share, which we have paid in each of the previous 12 months, to $0.03 as the lower metal prices will also affect the cash flow needed to pay for the mill expansion. So I believe Gold Resource's commitment to maximizing dividends to the shareholders is solid. Likewise, we have developed possibly the only program for shareholders to convert their dividends into physical gold or silver and take delivery. And this management is still committed to the belief that ultimately, the Oaxaca mining unit should be able to achieve $1 per share annual dividend. Let me switch now to operations and expirations. We believe the mill improvements, which include an additional ball mill, float cells and thickener surge tanks, will provide a great return on investment with the ability to process up to our targeted 1,500 tonnes per day when the improvements are completed. We continue to target these upgrades to be completed by the end of 2013. When you consider that for 2012, we averaged daily throughput of only 773 tonnes per day and produced approximately 90,000 gold equivalent ounces, having a mill capacity of 1,500 tonnes per day should put the company in a strong position to increase its production in 2014. 2013 is a year of investment, investment back into the project, and it is a good time to be expanding while the metal prices are down so we can benefit from the higher price later that we believe are coming. For the mine, we are pleased to report that in April, the mine shipped to the mill a little over 30,000 tonnes, which is a full-month averaging 1,000 tonnes per day. Also in April, we had our first day of 1,500 tonnes ore shipped out of the mine to the mill. To me, this certainly shows the progress of our mine development and capital improvements, not the least of which was the benefit from our new larger 30-ton Caterpillar haulage trucks that are now operating. Of course, there is no assurance we can keep such positive improvements and production going. So now let me turn to exploration. The company's 2013 exploration program is largely focused on the Arista vein system, its extensions and other parallel subsidiary veins that lie to the Northwest and Southeast. The company currently has 3 surface drill rigs near the Arista deposit and 2 underground drill rigs. We are very pleased with the additional mineralization we are finding that is truly expanding the Arista vein system. The company announced in March a significant new mineralized area enlarging the Arista system currently named Splay 5. The company continues to drill this highly mineralized area. I will give one assay out of a 4.7-meter intercept that shows why we keep excited. It was 0.62 meters assay in 10.7 grams per tonne gold and 17,361 grams of silver. That's like 1.7% silver. It averaged 2% copper, 2% lead and 2.5% zinc. I certainly want to be there when we open up into that area. And I might add we are actually planning to mine portions of this new vein in 2013. The company also has several holes drilled from underground to test a new vein target area, about 500 meters to the Northeast of our present mining, where we have intersected a parallel system that we now are calling the Switchback. This is a true success story by our geologist who, through surface mapping and structural analysis, predicted the possibility of this additional vein system. In addition, 2 kilometers southwest of the Arista system, our geologists have just encountered another mineralized area that we are now calling Salina Blanca. It has exciting geology and potential as we intersected a 30-plus meter wide zone of court vein in Bradshaw. We will be focusing one drill on this new area for the foreseeable future. We think that what we are seeing now is what we always believed, our initial La Arista resource were just beginning of this dynamic, high-grade polymetallic system. The company completed an air-board magnetic and radiometric geophysical survey over the entire 48-kilometer long position during the first quarter. This survey has generated some very exciting information and we are already seeing a number of target areas for future drilling. The company still has a single drill at its Las Margaritas concession. The drill is currently working on targets near the historic De Pata mine, where the majority of historic mining at Las Margaritas has occurred. There's no new news to report at El Ray. The company continues to work closely with the community to demonstrate how Gold Resource would be a positive influence in the area. El Ray is in a different [indiscernible] from our El Aguila Project, and so there are different people and different dynamics to work with. We are still optimistic that this community will see the positive Gold Resource impact that we could have on the local communities. So to wrap up, these continue to be challenging times for precious metal equities, but we believe they are also times of opportunity. We do not know where the future market trends will move, but Gold Resource Corporation is in a good place. We are producing gold and silver. We are producing a cash flow, and we are expanding the operation to be ready for the upswing in prices when they come. And we are still paying a good monthly dividend. Okay, so now I'll go to some of the questions that have been sent in.
William W. Reid: First question is from Mike Dudas, analyst of Sterne Agee. How are you planning to operate differently, if at all, if gold and silver prices settle in at $1,200 gold or $20 silver? Well, first let me say, we are very fortunate to have a high-grade deposit. Even with lowering gold and silver metal prices, we should still be profitable, but we have the ability to focus on just the higher grade if need be. This is something that most mines -- certainly, open pit mines with their lower grades can't necessarily do. But we have certain areas that are quite high in gold and silver values. And if the prices are reduced, we will move to those areas to really take advantage of the high-grade nature of our deposit. The next question from him is, will dividend and share repurchase decisions be primarily based on operating cash flow, metal prices, capital needs? Well, basically, all of the above. We, as a company, tried successfully, we believe, very hard to limit the capital of this company, meaning the number of shares outstanding. We only have 53 million shares outstanding. So we are not in any -- we don't have the motivation to want to sell shares to raise additional money, and we don't have the motivation to go into debt. So what we are trying to do, which we are doing successfully so far, is to use our cash flow primarily for all of our activities. At this point in time, with the expansion of the mill and with the prices lower, our cash has been reduced. Our cash flow potentially could be reduced, so the decisions for the dividend and the repurchase of shares certainly are affected by that. On the other hand, next year, if what our target is 1,500 tonnes a day, if and when we achieve that, that should generate additional cash that we can then make decisions on how we're going to spend that. What steps does GORO plan to take to expand floatation mill capacity? How much capital have you spent so far on expansion And how much do you expect to spend going forward? Okay, as I mentioned, yes, in our expansion, we do have additional flotation capacity built into that. Those flotation cells essentially, I understand, have already been built, and they should be shipped before too long. So I know they're putting in the foundations and in the steel work for these additional float cells as we speak. So the flotation capacity to get us to the 1,500 tonnes per day has already been designed into the mill. How much capital have you spent so far and do you expect to spend on it? Our budget for the capital improvements at the mill itself was $6 million, and we've spent approximately half of that. I don't have the up to the date minute number. But as of the -- into the first quarter, we spent about half of that. Do you feel confident about increasing mining rates to 1,500 tonnes per day in a timely manner in order to provide feed for the mill that has of expanded capacity? Yes, we do. As I said, it was a really nice milestone to have the people at the mine call us and tell us that they achieved 1,500 tonnes per day for the first time out of the mine. And so they are continuing to expand the development to several different new veins, as well as La Arista, et cetera. So anyway, our target -- at this point in time, our target for next year, we believe, we'll be able to be met by both the mill and the mine. And how is drilling in Las Margaritas progressing? Do you continue to be excited about what you see there? We have had a couple of additional exciting assays come out at Las Margaritas. We've not yet put together what I would call a resource there, but we think the potential is -- on a going-forward basis will be very good. We just will take a lot more time and effort to drill out the resource. Okay. Let me go now to Booth Allyson, an individual shareholder. It has been a long time since we've heard anything about El Ray. I wonder if you can give an update on the El Ray situation? What keeps it from being developed into production? Is there a problem with the local population? I briefly touched on it, but let me expand it here. First of all, El Ray is a property we are very excited about. Although we have limited drilling in that concession, the past drilling has been quite exciting as we have discovered 2 veins, which averaged about 1 ounce of gold per tonne over 1 to 2 meters of mine -- of vein width. We would like to continue developing this concession with the refurbished shaft that we already started a while back and also by additional drilling. But unfortunately, a small percentage of the local community, with the support of outside interest groups, have voiced their concern about a mine operating near their community. We have been working hard to educate the community as to how they would benefit from our local mining operation. We now have a local office that we staff. We supply dental and medical clinics to the community, and we are offering agricultural training. I cannot say when the local community near El Ray will support the company, but I do know we will continue to work hard to make sure the locals understand partnering with Gold Resource would be a benefit to both parties. I believe most of this community have seen the positive impact the company has had on our San Jose De Gracia town near our El Aguila Project. And I really believe most of the community wants that same positive impact at El Ray for their community. So we'll continue to work with the local groups. And at some point, I'm confident we will be able to return to El Ray with our refurbishing of the shaft. All right. Ben Firth of Alameda Capital asked, what is the status of Hochschild's 27.5% interest in GORO? There are rumors in the marketplace it will be selling their shares. Will there be a large offering? Well, we cannot speak for Hochschild. If they have something to say, they will need to say it, not us. What I can say is we have paid them over $22 million in dividends since they became an investor. From our proxy statement this year, you can see that Mr. Isac Burstein, Hochschild's representative to our board, is not standing for reelection. This may have led to some confusion. However, Hochschild has nominated for their representative Mr. Robert Musley to replace Mr. Burnstein. This is a perfect opportunity for me to thank Mr. Burnstein for his hard work and professionalism over the past 5 years as a board member. We have all enjoyed working with Mr. Burnstein and wish him well in his future endeavors. I do not know exactly how busy he is. But I do know he's been busy as Vice President of Business Development for Hochschild, and he felt that he needed to devote more time to those duties. We are also looking forward to working with Mr. Musley if he is elected as we believe his business expertise will be a great benefit to the board. Though I'm not aware of any big offering, we cannot speak to or speculate what Hochschild's plans are. It may be better for you to direct your question directly to them. From Jerry Wolf, an individual investor. Your cost of production nearly doubled in the first quarter. What will be the trend for the balance of the year? Jerry, you're correct when comparing Q1 of '12 to Q1 of 2013. You will remember that after the first quarter of 2012, we found ourselves needing to address many new issues in the mine and had to increase our mining ability. So we hired new management, many new miners and many new contractors. In addition, just for instance, our underground mine requires a lot more power today than it did last year, among other things. Our first order of business was to get to production without necessarily focusing on cost. We now are in a position to go after reducing the cost, and we are doing that. I believe that over time, we will be able to mine more efficiently and effectively so our cost will come down. All right. 2 questions from Irvin Derrick an individual investor. Any update on the timing for a new reserve statement? Gold Resource Corporation released its initial independent resource report in July of 2012. Since then, we have encountered several new mineralized areas that should increase that initial resource, but we need more drilling to bring these areas up to standards. In addition, our new Vice President of Exploration, Mr. Barry Devlin, has been here less than 6 months. I think we need to get down the road a little further before we place a timeframe on an update. Second question, are you going to publish all-in cash cost like other gold companies? To move to or just move to all-in cash cost is fairly new. A few mining companies have recently begun to publish all-in cash cost. However, the challenge here is to get a uniform definition instead of each company defining for themselves how they calculate this new all-in cash cost. So we will wait to see what develops with regards to a standard. But I do believe at some point when that is established, we will give our all-in cash cost. Bill Skavone, an individual investor, has a couple of questions. First one, why can't the questions be called in like other company conference calls? Gold Resource Corporation has taken calls in the past. But unfortunately, we found that many of the calls were from individuals who were trying to disrupt the conference call, primarily, what we believed were short sellers trying to cause problems with the conference call. Because of this, we made the decision to go to an email question-and-answer. And I have to say that we received very positive response from the majority of our shareholders. This format allows us to answer many more questions than we were able to do before. Yet other factor you need to consider, Bill, is that most companies have multiple analysts covering their stock. These analysts are typically the voices you hear on conference calls, not necessarily the individual shareholder. The second question, we have heard for a long time about another stock exchange listing. What happened to that? We are still exploring the possibility of a secondary listing. There are pros and cons associated with listing on a foreign exchange. I do believe that a secondary listing will give more people the opportunity to own the stock, which is the ultimate goal. We just want to make sure we pick the correct venue as there are cost and list of requirements to consider. Another factor that makes our situation unique is that we do not necessarily want to issue any new shares for a secondary listing. Basically, if you don't have shares to list on another exchange, there's no trading on that exchange, and that's why most companies do an offering. And certainly, at this point in time, we don't see doing an offering. So basically we're still evaluating our options at this point. Next question. For years, we heard about 200,000 or 300,000 ounce per year production. Whatever happened to that and when can GORO produce something more than 22,000, 23,000 ounces per quarter? Well, as I mentioned earlier in the call, the Arista mine is targeted to deliver significantly more ore to the mill in 2014. The mill expansion to 1,500 tonnes per day is a very positive step. These 2 factors should put Gold Resource in a strong position to ramp up production from current levels. I do believe we will see our El Aguila Project move towards 200,000 annual ounce mark target in the future but this takes time and, certainly, there is no guarantee. But we still believe that the ability for the project to reach that level is a possibility. Last year, we had to take a step back with development in the second quarter with our water and ventilation challenges and others. This did slow us down, but we're addressing those issues and now see our development ramping up. And now we have 2 questions from Dr. Lucas Trabula , CPM Group. We would like to ask you to clarify and justify reasonably the increase in general administrative costs by 66% Q1 of 2013 while overall cuts in production plants and efficiencies achieved do not seem to justify such increase in administrative cost of new and current personnel. Please explain your plans on cost related to wages, salaries and bonuses against meeting set operational and financial goals and if and how you plan to bring the expenses on personnel to performance and efficiency ratios back to the level of Q1 of 2012. Well, let me say this, that, certainly, when we look at the additional cost over this quarter, a lot of that cost has to do with lawyer -- legal fees and insurance costs. Those amount to almost $1 million by themselves. In addition, we now have a full-time CFO that we didn't at that point in time, and several other situations that we think we've improved are G&A. But as long as we have to spend money on legal fees, that's going to certainly affect our G&A for the time being. We do have for our managers a bonus program that is related to their operation and their performance. And we certainly take that into account when we look at the executive personnel also. So we are completely aware of the importance of tying it to performance, and we'll continue to do that. The second question we would like to ask is whether you plan to develop your current properties as a primary goal versus any other properties you may look at as potential acquisitions? In the case you plan any acquisitions, please provide reasons why developing firstly your current properties and develop some other targets versus developing other targets is a better strategy for a financial decision. Okay. That's a very good question because it goes to the heart of the company's philosophy and strategy. First, a one-mine company carry increased risk compared to a company that has multiple mines operating. Likewise, it is better to not have all your eggs in one basket or, in this case, one country. We want to always move towards the direction of reducing risk. Now we have great properties in Oaxaca mining unit. But you can only move so fast effectively. We could bring in more drills. But then you have to have the competent geologists, and the program can get very complicated where you're actually just trying to drill too much versus analyzing the data before you decide where to drill next. So we think we're at a point where we can effectively, both financially and from an operating standpoint, continue to drill the Oaxaca mining unit. We think we'll be there -- I believe we'll be there for 20 years. There are so many targets. But at this point in time, we have to do that rationally and focus on our exploration drilling without going overboard with too many drills. As I mentioned a moment ago, we believe the Oaxaca mining unit has the ability to run at the 150,000 to 200,000 ounce gold equivalent rate. And that's our target, and we are moving in that direction. This is the gross profile for this project. Now if we can find a new mining unit, basically a project elsewhere that can mitigate some of the risk that I mentioned a moment ago and then, in addition, has the ability to meet our criteria and have a targeted rate of plus or minus 150,000 ounces, you can create significant additional value for shareholders. Anything we do, I believe, will truly be accretive. The dollar spent looking for additional opportunities now are relatively minimal, at least the way we do it, and we are looking. But it is important to smartly grow the company. I have said before, each project or mining unit must have the ability to hypothetically pay $1 per share dividend. So we believe that having 2 mining units and that if each one can pay $1 per share dividend, then paying $2 a share in dividends, that is a good way to build value for the shareholders that really could not be done by just focusing on our Oaxaca mining unit. Let's see, we have one from Josh Elving of Dougherty & Company. So let's see here. Can you give us a sense for the progression of production throughout the rest of the year? Do you anticipate consistent production or do you expect it to be lumpy? Well, we certainly target a smoother production profile than lumpy, but there's certainly no guarantee that can be achieved. Our target is to be in the 80,000 to 100,000 ounce range, and we also have the expansion that there will be some times that we're down to make the change over, et cetera. But as of right now, we're moving forward with our production outlook as already stated. Cost have been rising throughout the industry. Do you have a sense for the trend over the balance of the year? And do you have an estimate for all-in sustaining cost? First of all, as I said, we've not focused on our cost up to this point because we are focusing on getting the production. Now we are going to be focusing on not only production, but reducing our cost, which we firmly believe and our project people firmly believe that we can do over time. It's not going to happen immediately. With regards to all-in sustaining cost, basically, until we get the actual definition that's going to be accepted by the industry, we're not going to give cost because that's -- or all-in cost because then it could be quite confusing. Okay. From John Duty, our Gold Stock analyst. What is the capital spending budget for 2013 for the mill expansion for the underground development? If that doesn't get the mill to 1,500 tonnes per day, what will be left to spend in 2014? Okay, John, I mentioned a little bit earlier that our capital expenditure for the expansion at the mill is $6 million. We've already spent half of that. We're really pleased the way things are going. They already are starting to put the bearings or the trunnions of the new ball mill in place. And before too long, the ball mill will be shipped down there. We're working on the expansion float. So we really think that we will have this mill expansion done before the end of the year. And right now the mill expansion second looks like it will be within that budget situation. Now for the underground development, we have a lot of different aspects to that. We've already purchased these new Caterpillar trucks, 30-ton trucks, which have really helped our production. I know one of the -- when you were down at the site, you thought one of our problems would be all those 10-tonne trucks of the locals coming out of there would be a problem. So we have now obviously gone to the new trucks, and it's making a difference. As I've said, our team is really pleased that they've got the first 1,500 tonnes for the day in the month of April for one day. And of course, we're going to continue to build on that. Okay, with the 5% royalty in Mexico and approximately 5% of the property vendor, the total NSR was 160 in first quarter of '13 or 30% of cash flow. I think you maybe mean if it would be. Given its size, would you consider reporting the royalty on a separate line so we can see the actual operating cash cost alone? I think that's possibly a good suggestion. And of course, as it does look like Mexico was going to have a 5% royalty, the actual definition of that we'll have to see how it comes out in the final watch with regards to that. But I think that's a good situation where we will try to break that out so we can see what we're doing. That was our thought originally when we didn't give the royalty was giving just the cash cost instead of total cash cost. You can see what we're doing, but that's a good suggestion. Okay, this industry is moving to also reporting all-in cash cost. What's GORO's forecast for all-in cash cost for 2013? As I have already said, until we get what's kind of considered the final definition, we haven't given all-in cash cost. So we'll wait on that until we have a firm definition. Okay. I think that's certainly all the questions we have. We appreciate everybody's input with the questions and for listening today to our conference call. So I think we'll cut it off at that.
Operator: Ladies and gentlemen, this will conclude your conference for today. We do thank you for your participation.